Operator: The time has come to start the meeting to announce the consolidated financial results for the first quarter ended June 30, 2019, for Hitachi Limited. The speakers are Mitsuaki Nishiyama, SVP and Executive Officer, CFO; Tomomi Kato, General Manager of the Financial Strategy Division; and Yasuo Hirano, General Manager of the Corporate Brand & Communications. Mr. Nishiyama, please. 
Mitsuaki Nishiyama: I would like to give you the explanation regarding the fiscal 2019 financial results. Please refer to the PowerPoint presentation. Please refer to Page 5, which 1-2. Consolidated statement of the profit and loss.
 The first line is revenues. JPY 2.0325 trillion was reported, a 6% decline year-over-year was recorded. IT increased revenues, but other segments had decline in revenues. For Hitachi Metals, Hitachi Chemicals, semiconductors and smartphones, automotive system market impact was felt. And the operating income adjusted basis is JPY 124.3 billion, a decline by 16%. And IT and Life segment increased, but Hitachi Construction Machinery, Hitachi Metals, Hitachi Chemicals recorded losses. 
 EBIT was JPY 182.5 billion, a JPY 2 billion increase year-over-year was recorded at the Railway System. Agility Trains West, a partial sales of stock was recorded. Last year, Kokusai Electric proceeds have fallen away, but we have been able to maintain EBIT similar to the previous year level. This JPY 182.5 billion is the highest ever for the first quarter.
 Next is the net income attributable to Hitachi Limited stockholders came in at JPY 120.3 billion, which was an increase of 14% year-over-year. This was also the highest record ever. In terms of the profit information, please refer to Page 21, there is supplemental information I wish to share with you.
 On the Page 5, I explained the profit and loss on a consolidated basis. This is being divided into the 5 sectors total and the listed subsidiaries total on Page 21. Please refer to the operating income. The 5 sector total was JPY 74.6 billion, and the adjusted operating income margin was 6%. And net income attributable to Hitachi Ltd.'s stockholders was JPY 103.8 billion. For 5 sectors total, this is a record. 
 In terms of operating profit margin, 6% was highest ever for the first quarter ever. And the net income attributable to Hitachi Ltd.'s Limited's stockholders, this number is also at the highest level. Market impact was felt at the listed subsidiaries, and the adjusted operating income was JPY 49.7 billion and net income was JPY 16.4 billion, and adjusted operating income declined by JPY 26 billion and net income declined by JPY 13.4 billion.
 For operating income decline for the listed subsidiaries, which was very significant. So overall, operating income was negative. But noncontrolling, 100% business or the BUs, business units, for these businesses, our efforts were very significant, having direct contribution to the bottom line. And therefore, the overall structure has improved.
 Let's go back to the original PowerPoint presentation and refer to 1-3. This is showing the factors affecting changes in the revenues and adjusted operating income. Left-hand side is the revenues. Impact of reorganization was JPY 77 billion. Selling of business in Kokusai, Hitachi Kokusai Electric deconsolidation impact was JPY 27 billion. Automotive system divestitures, such as Clarion, impact was JPY 50 billion. The total is JPY 77 billion impact, negative impact on reorganization. 
 The foreign exchange impact was negative JPY 25 billion. Euro -- actually dollar was positive, but euro and renminbi, yen -- a strong yen impact is shown here. Others is JPY 31.3 billion negative. These are the negative impacts on revenues.
 For the Lumada business, there was an increase, but there was a price decline as well as revenues decline and Others came in at the minus JPY 31.3 billion. 
 The right-hand side is the adjusted operating income. Impact of reorganization was JPY 5 billion negative impact and foreign exchange minus JPY 2.5 billion. JPY 9.2 billion is the Others. So that brings us to JPY 131.3 billion or 6.5%. And there was also investment for growth to the tune of JPY 7 billion increase. Inclusive of this, we ended at JPY 124.3 billion for the first quarter.
 Next page is the revenues by market, Japan and outside Japan. Please refer to the year-over-year column. Japan was 98%, outside Japan 90%. So there was significant decline outside Japan.
 Now there was a consolidation, such as Clarion, and automotive system divestiture in Kokusai Electric, it was included to the first quarter last year. If we make adjustment accordingly, then 98% will become 101%. And outside Japan, it should be 94%: Asia, 19%; China is 93%; ASEAN, India and other areas, 86%; North America, 100% after adjustment; Europe would be 96%; and Others, 95%. And total will be 97% instead of 94% with adjustment. 
 So we can see a significant decline in China as well as ASEAN, India and other areas. For ASEAN, Clarion business divestiture as well as the automotive system was 67%. And if we exclude the consolidation, 81%. Hitachi Metals, 90 -- 79% and Hitachi Construction Machinery is 82%. You can see that China saw significant decline. 
 For ASEAN and India and others areas, Korea and Taiwan. And High-Tech related was 88% year-over-year. Hitachi Chemicals, 88%. Hitachi Construction Machinery, 87%. And you can see the levels decline in China, as well as in Asia a significant decline in revenues were recorded.
 Please refer to the next Page, which is the balance sheet and the cash flows. At the very top, total assets was JPY 9.7327 trillion, compared to the March 31, increased by JPY 106.1 billion. 
 IFRS 16 has had an impact for the operating lease, unbalance impact, there has been changes in accounting. Therefore in the beginning of the term, impact was JPY 220 billion. Asset increase was reported and interest-bearing debt to the tune of JPY 200 billion also increased in the liabilities side but receivables decreased. So total was increase of JPY 106.1 billion. 
 Cash conversion cycle is shown here to be 66.4 days, that is a 2.9 days decrease from -- change from March 31, 2019. D/E ratio was 33.8% and -- D/E ratio was 0.31x, and stockholder's equity ratio was 33.8%. 
 And cash flows from operating activities is JPY 78.8 billion, which was a decline of JPY 55.4 billion. Last year Energy's -- the advanced payments have gone away and IEP project has run its course closing to the end. These 2 factors have impacted the decline in cash flows from operating activities. And cash flows from investing activities was JPY 105.1 billion, similar to the previous year. 
 There have been stock acquisition as well as CapEx reduction having an impact. Therefore, the cash flows from investing activities was maintained at the level of last year. Free cash flow declined by JPY 56.6 billion at JPY 26.2 billion.
 Next page, I would like to talk about the segment information. First of all, starting with IT, a 3% increase in revenues was recorded. Expansion of the system integration business as well as sales increase of storage and PC service in Japan have contributed to the 3% increase in revenues. As a result, with the increase in revenues, operating income increased by JPY 5.1 billion year-over-year. 
 This also was impacted by the strategic investment for expansion of the additional solutions business. Nevertheless, we are able to record an increase of JPY 5.1 billion. EBIT increased by JPY 13.6 billion, this is increase in adjusted operating income and gains of selling the land of former production bases. 
 Energy. The decrease in revenues is due to the business transfer of power saving and transforming facilities business for industry field, and decrease of large-scale projects and Power Generation Solutions business, to year-over-year change of 88%. And adjusted operating income declined as well. 
 Next page is Industry. There was impact from sales decrease of Industrial products, and a slight decline was recorded even though sales increase in air conditioning system business for industry field was positive. And operating income declined because of decrease in revenues. 
 Mobility was a slight decline as well. In the Railway Systems BU, IEP in the U.K. has run its course in terms of sales generation. But in Japan as well as in Italy, the Railway Systems revenues have increased. There was also an impact of foreign exchange for railway business as well as building business. Therefore, a slight decline at 99%. 
 But adjusted operating income increased by JPY 2.2 billion. This is because of the cost reduction as well as profitability improvement in the Railway Systems business. EBIT increased to JPY 26.3 billion. This is because of the gains by selling a part of Agility Trains West stocks.
 Next page, please. Smart Life segment. There was negative impact of divestitures on Automotive Systems business around JPY 50 billion of Clarion having a negative impact. For adjusted operating income, an improvement of JPY 2.8 billion. Contributing factors include profitability improvement in home appliance businesses due to cost reduction.
 Next, Hitachi High-Technologies. Sales are increased for semiconductor processing equipment in the U.S. However, there was negative impact of the sales decrease of liquid crystal display exposure systems at 93% year-over-year. Because of the decrease in revenues as well as increase of R&D expenditures led to a decline of JPY 2.1 billion in terms of adjusted operating income.
 Next, Hitachi Construction Machinery, a decline of 2% year-over-year. Most of it is because of the impact of the foreign exchange. The adjusted operating income was minus JPY 4.6 billion, increase in indirect expenses was the negative impact here. Therefore, a decline by JPY 4.6 billion year-over-year. 
 Hitachi Metals revenues was at 90% year-over-year. A significant decline was recorded, this is because of the decrease in demand for automobile as well as semiconductor and FA. In addition, there was a negative impact of the business transfer of the aluminum wheels business services. Therefore, revenues declined by 10%. Because of the decrease in revenues as well a revaluation loss on inventories, has led to the adjusted operating income deterioration by JPY 10.4 billion. 
 Next is Hitachi Chemicals. Revenues were at 92% level because of the decrease in demand for semiconductor and automobiles. In line with the decline in revenues, the adjusted operating income declined by JPY 4.2 billion.
 Next Page, Others. You can see that the adjusted operating income has declined. This is because of the negative impact of deconsolidation of Hitachi Kokusai Electric. 
 Corporate Items & Elimination. EBIT decreased by JPY 20.1 billion. This is because of the absence of gains by selling Hitachi Kokusai Electric stock recorded in the previous fiscal year. That is the reason why profit has declined. 
 For Social Innovation Business core business, overall, we have seen improvement in profit. But for the 4 listed subsidiaries, have been impacted by the negative market. Overall, there was a profit decline.
 Next page, 1-11. Topics, progress of Lumada business. In the first quarter, Lumada business was JPY 251 billion, which was 13% increase year-over-year. Public sector and the social infrastructure-related business increased. Especially Lumada core business, we saw a 34% increase year-over-year in Public, in Government-related, Social Infrastructure. We increased our collaborative business in FinTech, Blockchain-related businesses. We provided new solutions. 
 And in Mobility, the rolling stock and the signal maintenance and the escalator/elevators maintenance business and others, Lumada is being applied to more businesses now. 
 And on the second lower half, you can see the topics of Lumada rolled out vehicle sharing service for Thailand's logistic sector with Hitachi Transport System. And we also started a partnership with Virtusa Corporation in America to provide AI-based solution for financial field. We have a dedicated team on both sides to develop this business. 
 And in expanding the co-creation business utilizing digital technology, we have 2 examples. We started proof of concept of a new digital ticketing solution for the public transportation operator in Italy and also received an order from TOA Oil for high-temperature parts management platform for gas turbines.
 Next page please, Slide 1-12. First, the progress of structural reforms in Automotive Systems business. We agreed to acquire Chassis Brakes International to create an industry leader in automotive safety solutions. It is scheduled to be completed by the end of 2019. And we agreed to transfer shares issued by PALENET CO., which engages in rental business of cargo handling business, pallets, to Hitachi Transport System. 
 And in strengthening of management base of Railway Systems businesses, as I mentioned earlier, we sold a part shares of Agility Trains West Limited additionally. Of the 70%, we sold a 30% in 2018. And in the first quarter, in April, we sold additional 15%. So now we have 25%.
 Now further expansion of global business in mobility sector. We received an order for delivery of elevators, escalators and moving sidewalks for the Thailand international airport; and received an order for the delivery of elevators for large-scale office buildings in India, Hyderabad; and received an order from Trenitalia in Italy for high-speed train sets with Bombardier Transportation in June.
 Next page, 2-1, you can see the outlook for our fiscal year 2019. This was announced on April 26, and we kept this unchanged. Revenues to JPY 9 trillion and adjusted operating income, JPY 765 billion, 8.5%. And net income attributable to Hitachi Ltd. stockholders, JPY 435 billion. This remains unchanged. So segment figures have also remained unchanged. That completes my explanation. Thank you. 
Unknown Executive: We will now open the call for Q&A, and please wait for the microphone to be brought to you. The floor is now open. 
Unknown Analyst: Regarding the Page 21 that has been provided, you have made the comparison between 5 sectors total and listed subsidiaries total. This is very easy to understand. Regarding the operating income for the first quarter, is JPY 124.6 billion (sic) [ JPY 1.246 trillion ], and what was the level that was compared to the outlook? And how does JPY 74.6 billion compare? And this JPY 49.7 million (sic) [ JPY 49.7 billion ], how does it compare according to the -- compared to the outlook and forecast? 
Unknown Executive: By quarter, we have not given detailed explanation outside. But overall, for the listed subsidiaries, JPY 5 billion was underperformance compared to plan. Because of Hitachi Metals as well as Hitachi Chemicals overall underperformed by JPY 5 billion against the plan. On the other hand, for 5 sectors total, overall, for each of the sectors, there were improvements made. Total was JPY 5 billion improvement centering on IT improvements that we made. Other sectors also improved. The total was JPY 5 billion. So altogether, we are proceeding according to plan. 
Unknown Analyst: You said that IT was particularly strong, a 13% increase was shown and annual 4% decline is the plan. It seems that you are outperforming in this area. ATM decline was factored in. But in the first quarter, I wonder where the areas improved. And other improvements made for the businesses that looked unfavorable, please give supplemental information. 
Unknown Executive: For the first quarter, the difficulties and challenges being effected in ATM is continuing to be difficult. For financial business, SI in financial, last fiscal year, we had major projects which have run its course now. And therefore, major projects for financial sector is decreasing.
 On the other hand, in the other solutions for financial business is increasing in terms of demand. For example, FinTech as well AI for Financial Services as well as laborsaving additional measures have strong demand. Public sector as well as industry areas have strong demand as well for the business, SI business, therefore, overall, is outperforming the plan. Even though financial sector business has declined slightly, it is more than offsetting the decline. Thank you. 
Unknown Analyst: I have 3 questions. First, Agility Trains sales. So what part of your stake did you -- how much stake did you sell and how much you have left? And in Automotive, because of the organization you've been suffering from operating income decline. But it seems like for a decline in revenue, your operating profit is fairly well. So will this improvement start -- continue in the first half? And third point, South Africa. If there are any progress, please let me know. The construction seems to be delaying or the operation seems to be suspended according to some mass media reports. So if there's anything you could update us on. 
Unknown Executive: First, Agility Trains West, this is the train operation company. Our rolling stock -- it's not our rolling stock and company, it is the train operation company stock. We originally had 70%, and in fiscal year 2018 we sold 30%. And this time in the first quarter, we sold additional 15%. So we now have 25% left. So for what price, we may have some additional sales or Agility Trains East. We have stake in Agility Trains East as well. And once the train operations starts, the stake will decrease, reduce. So the price may impact the selling price at that point in the future, so I would like to refrain from mentioning the price.
 And you're next question on whether the 5 sectors' favorable condition continues into the second half. So materials business is difficult, but the 5 sectors centering on IT is doing well. So whether this will continue to later in the year, solutions business is strong, especially according to BOJ telecon on July 1. 
 The software investment in the capital expenditure. The survey result is 12.9% up year-on-year, and we felt that, that is actually the case. So laborsaving in manufacturing and nonmanufacturing sector, laborsaving is focused and the production streamlining and quality assurance, and financial institutions are using FinTech and AI more. And the traditional SI business, ERP-related packaged software, the SI business related to that is seeing strong demand. So on IT sector and industrial sector, we're seeing this demand. 
 On the other hand, products business, business environment is difficult. So with the strong solutions business, we have a tailwind with short delivery timing. So we will accumulate these short delivery timing projects -- products. 
 Now the South African project, the arbitration progress, we have the confidentiality agreement so I cannot comment on that. But regarding the project cost, we are constantly checking the situation. And if we see any changes or fluctuations, we will review the cost and provisioning of reserves. And we've been doing this, but there's nothing to update on the changes in the negotiation. 
Unknown Executive: Additional comment on automotive. On Page 26, Life segment information is disclosed. Page 26. Revenues, 78%, so this seems like a big dip from last year but this is mainly the Clarion business divestiture. So excluding that factor, China and North America, there's a revenue decline -- sales decline. But it is a slight decline, only a slight decline. On the other hand, operating income is minus JPY 300 million. It seems like a decline. But excluding the business divestiture, we are conducting cost reduction. So the operating income increased. So in real terms, it is increase in operating income. 
Unknown Executive: One more additional point, Agility Trains, this is not the rolling stock, but it's a rolling stock leased company, not operation, but leased company. 
Unknown Analyst: I have one question, it aligns with all the other questions before me. Regarding Automotive Systems, in the fourth quarter of last year, I understand that the situation has improved. But in the first quarter, if you look at the operating profit margin, it is 3% or even less, so it has reverted back to the previous state. What happened after the improvement in the fourth quarter? And how did the first quarter fail, vis-à-vis, the plan? As well as second quarter, what is the outlook? 
Unknown Executive: The first quarter revenues tend to be small from the beginning. Therefore, it is true that we achieved 7.9% in the fourth quarter of 2018. But it is not abnormality that pushed down in the first quarter, it's a seasonal factor. Now quarter-by-quarter basis, we can see improvement in this business. There is still room for reducing cost further. Lost cost reduction is not enough yet. All costs are direct material, indirect costs must be reduced further. We shall continue these activities to reduce cost.
 Productivity base in North America, there is a significant turnover of people. But this problem has -- is already behind us, but there is still loss cost incurred in other areas. We shall continue to reduce lost cost for this fiscal year and onward. 
Unknown Executive: You said that -- well, we talked about the comparison with plan that there was an upside of JPY 5 billion, and there have been improvements in the various segments. Well, AMS, we can see that our plan, it is improving against the plan. 
Unknown Analyst: I have 2 main questions. First, in your management policy, you talked about capital allocation, JPY 4 trillion funding side allocation -- and allocation. So on a funding -- fund procurement, 3 years operating cash flow of JPY 2.5 trillion; and bank borrowing, JPY 1 trillion; in asset sales, JPY 0.9 trillion; and allocation M&A, JPY 2.5 trillion; CapEx, JPY 1.6 trillion; and shareholder return, JPY 0.4 trillion. Is this breakdown roughly correct? 
Unknown Executive: In the medium-term plan announcement and in the sector IR briefing, we've been mentioning these numbers and it has not changed much. So operating cash flow, JPY 2.5 trillion, plus asset sale and increase in bank borrowing. So that's JPY 2.2 trillion to JPY 2.5 trillion. We use that for growth investment and M&A. So this structure has not changed. 
Unknown Analyst: So based on that, my question is operating cash flow, the current quarter is seasonally small, but the operating cash flow does not seem to be large. So JPY 2.5 trillion divided by 3, you will need a certain amount per year. So if this progresses, which item will improve? Do you have any outlook? 
Unknown Executive: In the previous medium-term plan, the operating cash flow margin against the operating margin was low. So the inventory increase was a big factor. So we thought that the ratio was too low. But this operating cash flow margin is now coming close to operating margin -- operating profit margin to secure JPY 2.5 trillion. However, in the current quarter -- in the first quarter, Hitachi Construction Machinery inventory increased; and Hitachi Construction Machinery and Metals, we reduced the procurement and so payable decreased. And so it seems like it worsened year-over-year. But now it's being normalized, so that's how we want to secure the level. In parallel, we are also selling assets. So with asset sales, we want to secure source for investment. 
Unknown Analyst: In the capital allocation, if you are to focus on shareholder return compared to the previous 3 year -- in the next 3 years, it seems to be increasing. Your plan this year -- based on the assumption that your plan this year is comparable to last year and if dividends remains unchanged, it may fall short against the progress for the next 3 years. So which point will be your focus in your increase in shareholder return? 
Unknown Executive: As I've said before, shareholder return, we do not give out numbers on shareholder returns. So CapEx and shareholder return, JPY 1.8 trillion to maximum JPY 2 trillion is our plan. So growth investment and investment capacity, capability or firepower will be considered and increase our shareholder return along with the increase in profit. And in the -- compared to the 2018 medium-term plan, we want to increase the shareholder return going forward. 
Unknown Executive: Any other questions? 
Unknown Analyst: I have 3 questions. The first question is confirmation regarding numbers. In the first quarter, growth investment was JPY 7 billion. Is it all IT? Please give me the breakdown. 
Unknown Executive: Well, actually, it's varied. The breakdown of JPY 7 billion will be provided half or JPY 3 billion is IT. This is the most significant portion. Others include a JPY 1 billion for Mobility, listed subsidiaries was JPY 1 billion and Industry around JPY 0.5 billion. That is the basic breakdown. To your second point regarding South Africa arbitration, we mentioned that there was going to be a change in cost. It will be reflected accordingly. 
Unknown Analyst: But for this project, is the reserves increasing? You said that if there is going to be interest costs, are you saying that provisions will increase? Reserve will increase? If that is the case, please elaborate. 
Unknown Executive: There is no significant increase, but we are making reviews accordingly. As already mentioned for major projects, there is no change -- there is no significant change. But in terms of foreign exchange as well as costs, it will be taken into consideration to make appropriate adjustments. 
Unknown Analyst: Third question is regarding ABB Power Grid business. For due diligence, have you made any progress? Please comment. I understand that there is about 200 or 100 bases altogether, what for sales as well as -- are there any surprises? Please elaborate. 
Unknown Executive: For ABB, there aren't many bases. Major bases we have visited and made confirmation. Regarding post-merger integration as well as the process for copout are being worked on by the 2 parties and everything is proceeding basically according to plan. 
Unknown Analyst: I have 2 questions which are related. First question. First quarter in total was in line with the plan. Your direction in the second quarter, will it be like -- is it progressing like first quarter or not? Fortunately or unfortunately, you are weak in FA, so will this help you? Up to second quarter last quarter, it was very strong. So at this pace, last year was operating income exceeding JPY 190 billion. So Q-on-Q, if it's the same pace on Y-on-Y, maybe 15% down. Is that the momentum you're expecting? So if you could first talk about the momentum. 
Unknown Executive: Second quarter, 5 sectors and the listed subsidiaries both will be having the same business environment as the first quarter. Products, especially materials business, recovery is not foreseen yet. So second quarter will still be difficult and that is the assumption for our measures, reducing fixed costs. On the other hand, solutions business demand is strong. Looking at the first quarter's demand, demand is declining in Hitachi Metals and Hitachi Chemicals. So for 5 sectors, the demand is robust. The orders is robust. The overall orders in Japan is 103% and overseas is 99% year-over-year. So overall, 101% year-on-year.
 Now for further analysis, the Hitachi Kokusai divestiture and AMS, Clarion sales and foreign exchange, JPY 25 billion. If you exclude these factors and correct it, both Japan and overseas was 106% year-on-year, so that's the orders. And therefore, material business is difficult but in other business, 5 sectors, orders are strong. Volume is increasing, especially in IT on a sector-by-sector basis. On year-over-year basis, of the 106%, IT is 110% and Energy is 100% flat, Industry 120% year-on-year, Mobility, 152% year-on-year. And this -- it's railways, so there are some long-term businesses. In life, Smart Life 101%. So overall, we see a very firm situation. In the second quarter, we think the trend will be similar to the first quarter regarding the 5 sectors. Overall, we think the situation is firm and robust. 
Unknown Analyst: My second question is, so this time, you did not revise your full year forecast. So what is your thinking behind it? In the first half, operating income may be 10-or-so percent decline. Then in order to achieve the full year plan, second half will have be 10% up. So it's not visible enough in the first quarter. So is it just -- it just ended not revising? Or do you expect something, some positive factors expecting in the second half? You have big domestic ratio and the consumption tax will be raised in October. So you may not have an impact on your home appliance business. But since last time around, after the April, production declined. So it will not be easy for you. So the reason you did not revise your full year forecast. 
Unknown Executive: Products and materials business are very unforeseeable. Semiconductor, in some regions or some clients, we think investment may recover but we don't know when that will happen. And therefore, like first quarter, our material business will remain difficult. That is our assumption. So that's the assumption we will continue running our business. And as I said earlier, the 5 sectors, the solutions business and other businesses are strong. Products businesses, as you mentioned earlier, may be impacted somewhat by the consumption tax hike. 
 In manufacturing sector, there may be some production, laborsaving to overcome the labor shortage. And in the financial sector, there may be some investments for streamlining and laborsaving and AI application. So we think we -- this demand will be strong. So we have opportunity to accumulate more short delivery timing products and services. But the negative impact and positive impact will be quantify in the second quarter. We will scrutinize further, so that's why we did not revise our full year forecast. 
Unknown Analyst: So it's not that you just did not change it, you have good traction with IT and that's why you are confident and not changed. 
Unknown Executive: Yes. 
Unknown Analyst: So in the waterflow (sic) [ waterfall ] chart, looking at the first quarter, the impact of the materials -- raw materials costs is not shown. So on the first quarter if you could talk about that. 
Unknown Executive: Raw material costs, there are ups and downs. But overall in the first quarter, JPY 3 billion negative impact from raw material cost. And with cost reduction, we completely offset that. 
Unknown Analyst: So not just raw materials, but you have quite volume of storage and hardware. Looking at other competitors, memory and electronic materials is declining and enjoying some impact from that. What about you? 
Unknown Executive: Cost reduction, the JPY 9.2 billion minus in the waterfall chart, let me give you the breakdown. Lumada revenue contribution and improvement in operating income is JPY 4.5 billion, and the other revenue decline is JPY 6.6 billion negative. And price down, storage, Automotive Systems, that's JPY 10.5 billion negative. And labor costs and depreciation up -- increased. That's a negative impact of JPY 20 billion. On the other hand, cost reduction was JPY 23.3 billion plus and so that's JPY 9.2 billion. In the JPY 23.3 billion, the increase in raw material, the JPY 3 billion is included. But of course, with components, there were some positive factors. So that's JPY 23.3 billion. 
Unknown Executive: Any other questions? 
Unknown Analyst: I have 2 questions. So you have provided the information regarding the 5 sectors as well as the listed subsidiaries. I'm sure that listed subsidiaries cannot be controlled completely, but the materials companies are struggling. And we have fully seen announcements in a limited manner, but it seems that for your materials companies, it seems that it is not performing well. So there are rumors that we will be selling these business. What is your elaboration on this? 
Unknown Executive: There is no governance issues. For materials, we have 2 companies, Hitachi Metals as well as Hitachi Chemicals. For 2018, from the latter half, the market environment has deteriorated significantly. Furthermore, it is yet to recover. First quarter remained the same. Therefore, the environment remains difficult. For each of these companies, whether it be Hitachi Chemicals as well as Hitachi Metals and Chemicals are reducing costs. And on part of the Hitachi Metals, furthermore, the market remains difficult. 
 Therefore, our cost reduction measures will be stepped up and structure reform measures will be implemented. And we have decided to withdraw from a low profit businesses. Measures have been implemented. And on our part, we are confirming the details thereof. But I'd like to emphasize that the market environment remains very difficult. Therefore, we are requesting further depreciation of these measures. 
Unknown Analyst: The chemical companies [ would pay for business ] is significantly impacted by the semiconductor cycle. But if the semiconductor cycle is declining, then cost reduction has been made from the past. But strategically, compared to competitors and rivals, it seems that you are behind according to the results. Please comment further. 
Unknown Executive: I hope you can engage in discussions with these listed companies. We are looking at short-term measures as well as long and midterm strategies. We are conducting reviews of these plans and strategies. And for the time being, cost reduction acceleration will be necessary and the scale of cost reduction must be enhanced further. We are checking on these measures. And once we have a recovery, we hope that our profitability can be ensured in the recovery phase. That is the reason why we have to accelerate the measures today. We are confirming the promotion of such measures. 
Unknown Analyst: Question number two is regarding IT solutions. The environment is very good for the listed companies. But one concern that is being raised is the consumption tax as well as the Olympic Games. There is perhaps a front-loading of the business, so there may be a need to be more cautious in the second half. Please elaborate. 
Unknown Executive: Obviously, the consumption tax will have an impact, but the -- we don't know how this is going to manifest in terms of negative impact. Therefore, as I have already mentioned, new areas as well as laborsaving measures, demand is very strong. Therefore, we have to ensure the delivery of resources, so short delivery products can't be provided. So that we believe that incremental cost factors can be absorbed in this process. Thank you. 
Unknown Executive: Our time is running out, so we will take the last question.
 With that, we will close today's briefing. Thank you very much.
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]